Operator: Good evening, everyone, and welcome to the Inspired Entertainment Third Quarter 2023 Conference Call. [Operator Instructions] Please note, today's event is being recorded. Please refer to the company's Safe Harbor statement that appears in the third quarter 2023 earnings press release, which is also available in the Investors section on the company's website at www.inseinc.com. This Safe Harbor statement also applies to today's conference call as the company's management will be making certain statements that will be considered forward-looking under securities laws and rules of the SEC. These statements are based on management's current expectations or beliefs and are subject to risks, uncertainties and changes in circumstances. In addition, please note that the company will discuss both GAAP and non-GAAP financial measures. A reconciliation is included in the earnings press release. With that completed, I would now like to turn the conference over to Lorne Weil, the company's Executive Chairman. Mr. Weil, please go ahead.
Lorne Weil: Thank you, operator. Good evening, everyone, and thank you for joining our somewhat delayed third quarter conference call. With us this evening as usual is our CEO, Brooks Pierce. And joining us for the first time is our Interim CFO, Marilyn Jentzen. Marilyn has done an extraordinary job of overseeing the accounting work that’s taken place in the last 3 months. And for those of you who may not be familiar with Marilyn's background, although I think we’ve made it public in a few different places. She's a 10-year veteran of the big four accounting world. She's a former Senior VP of Finance of IGT. And she has a Wharton MBA, with a concentration in accounting. And thanks to her work and the work of her team, we today filed an amended 10-K for 2022, amended 10-Ks for the first and second quarters of 2023 and the delayed 10-Q for the third quarter of 2023. And with these filings, we are in full compliance with NASDAQ and with our lender group. This follows a 3-month process during which our internal organization was augmented by enormous outside accounting and audit resources provided by one of the most highly regarded and prestigious firms in the public accounting industry. Indeed, it's not an overstatement, I think to say that these are the most fully vetted financial statements I have encountered in my roughly 50 years of working in the public company arena. As mentioned in the press release, the first half of 2023 was unchanged from what had been previously reported last year, with a $1 million first quarter downward adjustment offset by a similar us upward adjustment in the second quarter. And the full year 2022 EBITDA was adjusted downward by about a 0.5% from $99.6 million to $99.0 million. EBITDA in the third quarter of 2023 was $26.7 million, slightly behind the third quarter of 2022. For a variety of reasons, which I'll clarify, as I review the individual businesses in a moment, we think that $26.7 million very meaningfully understates the earnings power of the business at this time. Given that the fourth quarter is by now, in the rearview mirror, given that we're in February, I think I can say that we expect the fourth quarter to be in line with consensus, and excluding the roughly $2 million impact of our fourth quarter computer systems hack to be nicely ahead of both consensus and Q4 2022. Now let me take a look at each of the businesses themselves. The Virtual Sports business continues to be as amazing a business as I've seen in all my years, super high margins, relatively low capital intensity, significant barriers to entry, which we have further strengthened with the NFL and NBA licenses, and tremendous long-term growth potential. Following a period of extraordinary growth that was driven by the addition of several new territories, we've talked about those a number of times in the past, and some great new products, we've been in a short-term plateau for a few quarters. And indeed, we saw a modest year-to-year EBITDA decline in the third quarter, which is mentioned in the press release was more than entirely occasioned by our major customer deliberately, and effectively pruning the user base, a process we think has run its course at this point. In a moment, Brooks will talk in some detail about why we think we're about to embark on a second exponential growth phase, driven by new products and more importantly, huge new geographies that operate in both the gaming and the lottery spaces. While growth in the Virtual Sports business has been in temporary pause the other part of our digital business Interactive, has validated the wisdom of the major investments we've been committing some time to content and platform development, Revenue and EBITDA in the third quarter grew 37% and 68%, respectively, with EBITDA margins expanding from 53% to 64%. It's important to recognize that this growth has been driven by only a small handful of iGaming jurisdictions in North America. And we're confident that the inevitable addition of new states and new provinces will further accelerate this growth. Taken together, the EBITDA of our combined Virtual Sports and Interactive Digital businesses accounted for 58% of our overall EBITDA in the first 9 months of 2023 from about 50% in 2022. Here again Brooks will add significantly more color in a moment. The most important development to report within our retail business is the phenomenal performance of the Vantage cabinet in both of the betting shops and pub sectors. In a moment Brooks will review this subject in some detail, but along with the success of our asset light strategy, this cabinet and its associated content appears clearly to be a game changer in our recurring revenue retail businesses.
attendant to the asset light strategy, which we: Regarding the latter, we believe we have devised a restructuring program designed to recapture this lost income, which we hope to be able to discuss in our next conference call. Taking all these factors into account, we would expect to see reaccelerating growth in our retail businesses as we move through the fourth quarter and into 2024. And with that, I'll turn things over to Brooks.
Brooks Pierce: Okay, thank you, Lorne, and thanks to all of you for joining the third quarter call. And as I usually do, I'll try to add some color and detail to Lorne's overarching comments to give some further clarity on the business progress as we see it and what we're working on in terms of future developments. Certainly echo Lorne's statement about the efforts put forth by both Marilyn and the entire finance team on the accounting work it's done to take us to get to today and frankly, want to give thanks to the whole Inspired team who has endured this process along with other challenges, including the hack to our IT systems and the recovery from that in such a professional way. As we've mentioned in the press release, the hack will have penalized us by approximately 2 million primarily through the reduction in our ability to deliver games, the slowdown in integrations and other productivity reductions. Good news is we feel like the future is bright for Inspired and that's what the team and I are laser focused on. First, let me give you some details on the Virtual Sports business alongside Lorne's comments. I agree completely that it is an amazing business with all the characteristics Lorne mentioned. But the most important of which is the fact that I feel like we're in the first quarter of the game in this business. The main drivers of the growth in the business are new products, licensed products and new geographies. And we're in the very early stages in each of those categories. We've launched the NFL license game with our largest customer, and we're seeing exactly what we hoped with the NFL game growing in revenue weekly without cannibalizing our existing NFL Alumni game. First half of '24, we'll see the game launched across additional North American operators like BetMGM and Rush Street. And we hope to add other operators as we go through the year. And we're also seeing more interest from European and Latin American operators to this product. And we'll be rolling it out to these customers also over the course of '24. As always, it takes some time to do the integrations and coordinate promotions with operators, particularly in some of the newer virtual sports markets like North America. But we are more confident than ever, that there's a robust market for this product, and that licensed brands will drive incremental play. We are very excited to have signed a license with the NBA as well. And it will be our first, but certainly not our last foray into the archived version of virtual sports wherein footage of previous NBA games will be constructed into a virtual sports format. And we're confident that this will resonate with the vast NBA worldwide brand and many of the markets we serve. We expect to launch this product in the second quarter of 2024, with our large customer in Greece, who have 3,000 -- approximately 3,000 retail locations as well as a major online presence. And we're already working with them OPAP and the NBA, to do a major marketing and promotion launch for this product. And importantly, it will be an incremental channel not replace an existing virtual channel in Greece. We're also down the path on our hockey game, as we've talked about in the past and hope to launch that also in 2024. And expect that will be a very popular new game in key markets like the U.S., Canada and Nordic and Eastern European areas. So clearly you can tell we're very bullish on both licensed brands like the NFL and NBA, and the new product supporting these that we'll be rolling out this year. In terms of additional geographies besides North America, that's, as I said, in the very early stages, we're obviously incredibly excited about the opportunity we see in Latin America and particularly in Brazil. We're fortunate to have Virtual Sports specifically included in the recent sports betting law that passed in Brazil. And we've been working in that market and advance for months to help build interest and our unique offerings. As most of you will know, soccer or football, depending on where you're from, is the biggest virtual sport for Inspired and represents more than 75% of our business currently, and Brazil is an incredibly passionate population and when it comes to this sport. And as we've seen in other markets like Greece, Italy, Turkey and Morocco, having a passionate fan base for a sport is a great precursor for the success of virtual sports in that market. So we'll have a team down in Brazil actually next week for several meetings with operators and we believe that Brazil will be a market for our products, including our gaming alongside Virtual Sports that will be much like our other key markets of U.K., North America, Greece and Italy [ph] that will be very strong for our digital businesses. As Lorne mentioned in his remarks, it's not out of the ordinary for business segment that has seen the growth that we've seen out of Virtual Sports to experience a period of moderating growth, and ours was exacerbated by the change in policy by our biggest customer with their players. But we are confident that the strategy of additional licensed sports in either new or newly launched territories will propel sustainable growth for this segment going forward. Moving on to the Interactive segment of the digital business, as shown, as Lorne mentioned, incredible growth throughout 2023, with revenue growth in the third quarter of 38%, and this segment really continues to click on all cylinders. This is a result of improved games and quantity of games released alongside dedicated account management to ensure that our games are positioned appropriately on our operator sites. We have a roadmap of content in the first half of '24 that frankly looks like the strongest roadmap we've ever had for all of our key markets, including U.K., North America, Greece, Italy and going forward in Latin America, and specifically Brazil. Additionally, we're in the process of building our next game studio, whose primary focus will be bespoke content for the North American market. To date, we supported the North American market from our U.K studios. And considering that we've had some very strong results, but we see new states coming on in iGaming and new opportunities in our retail business in North America and think a dedicated studio will accelerate our online retail growth in this key market. Our omni-channel strategy has been validated in the U.K and Greece in particular, as we leverage our retail game content alongside our online content. And we're gaining share in each of those markets and we'll be looking to replicate that success in North America. Many of you will have seen the recent announcement about the stakes limits in the U.K being adjusted to ₤2 for those under 25 years old, and ₤5 for those over 25 years old. We've been an active participant in these discussions and are fully prepared for this outcome that will start in the fall, we expect it to have a very modest impact. And our game designers have been planning for this for a long time. And frankly, we feel that this is probably a good thing for the market long-term. Many of you will have seen a product that we introduced at G2E, a revolutionary product, frankly, that we call Hybrid Dealer. And we recently showed it even more extensively at ICE in London. So we've now soft launched that with BetMGM and have worked through all the technical and regulatory steps alongside them. And they are planning a big marketing push now that the Super Bowl is behind them. And we look forward to reporting on that in future calls. We also expect to go live with Roulette in the second quarter of '24 and expect that this will be the larger of the product segments and will apply to a broader set of our customer base. Our booth at ICE was filled with operators wanting to see this product and our pipeline of potential customers is extremely full. And we'll be working throughout 2024 to be delivering this product segment to as many key operator customers as possible. Overall, we feel like we've positioned the digital segments of our business as Lorne about, for continuing along this great growth trajectory. Moving over to the retail businesses, whose characteristics are also in our lower growth and stable businesses with recurring revenue streams, based largely on our participation in the cashbox. But we also have a component of one-time sales in that business that can move from quarter-to-quarter impacting performance when looking at the narrow lens of one quarter and that's what we saw in Q3 of '23 with some sales moving into the fourth quarter. The biggest news in these businesses is the phenomenal success of the Vantage cabinet and that we are much further down the road in the replacement and asset light strategy we're driving in these segments. We've completed the full installation of Vantage cabinets in both that Betfred and Paddy Power shops and the Vantage cabinet continues to produce an uplift of close to -- excuse me, 11% for these operators over the cabinets they replaced. We've now installed over 1,200 Vantage cabinets in our pubs business, which represents about 19% of our state. And we're seeing actually a greater uplift with daily cashbox in the pubs segment up 21% versus the machines they replaced. We're now starting to place these cabinets in other venues such as AGCs, Motorway Services, and Bingo venues. On the sales front, in North America, we've seen improved performance in our terminals in Illinois with a brand new game pack that's proving to be very successful. And we're working with several key prospects in the Canadian market and we look to report on that in future quarters. As Lorne mentioned, we certainly have some cost pressures in the holiday park segment of the leisure business, that we have plans to mitigate and are working diligently across the entire business to find economies and efficiency improvements to run our business segments more profitably, and we'll report on that progress on that front in subsequent quarters. So even though we haven't had formal calls due to the restatement, we've obviously been very hard work building what we think is a growing, diverse and profitable business. So with that, I'll hand it back over to Lorne, for any closing remarks before we open up to Q&A.
Lorne Weil: Thanks, Brooks. I don't really have anything to add to what Brooks and I have already said, I'm sure we'll have plenty to talk about as we get into the Q&A. I can look at our screen and see who's in line to ask questions and haven't had an opportunity to do so for 6 months. I should also mention that Marilyn Jentzen, our CFO will not be making any prepared remarks this evening. We've released a gigantic amount of financial information today and it's enough just to try to digest that. But Marilyn is here and ready to answer any finance or accounting related questions that you might have, and or anything else that she feels like she wants to answer. With that, operator, can you please open the program up to Q&A?
Operator: Thank you, sir. [Operator Instructions] Our first question comes from the line of Barry Jonas from Truist Securities. Please go ahead.
Barry Jonas: Hey, guys. Good -- good evening. Nice to have you back. Wanted to ask about Hybrid Dealer, which was something we all saw at G2E. Wanted to get a little more detail on it, actually, is this sort of meant to be a replacement or complimentary for the live dealer experience? And how big do ultimately think Hybrid can get?
Brooks Pierce: Well, I would say it's complimentary. But as we've talked about Barry, kind of individually, it's an important differentiation from the live dealer market. And that there's not the same operating costs, there's not the same setup costs. So there's a number of economies that the Hybrid Dealer offers to the operators. So certainly what we're seeing with BetMGM and with future customers, I think we've mentioned Caesars has been signed up, is it's to their incentive to try and drive traffic to Hybrid Dealer. I just actually today ironically saw the fully fleshed out BetMGM marketing plan, and we're super excited about that. So I don't think anyone expects that it's going to replace live dealer, but I think the operators are extremely motivated to drive as much to this business as possible as an additive to live dealer.
Lorne Weil: The other I think the other point to add to that, Barry is, I think what Brooks is saying, is absolutely right, as far as certainly what we call the Tier 1 operators, MGM, Caesars, et cetera, et cetera, et cetera, and even maybe the Tier 2 operators, but there are a huge number of operators who can't afford any of the other product. So for these people it's not a question of whether our business is adding to the live dealer or replacing the live dealer, they just don't have it. And this is going to give literally hundreds of operators now for the first time a product that has this function. So, yes, like we're incredibly excited by MGM, but frankly, we're just as excited about the other end of the market that has never had a product before.
Barry Jonas: Great. And then just for a follow-up, I wanted to ask you about capital allocation you purchase stock -- you've been purchasing back stock. Curious if you can say whether that's continued into the Q4 and just get your thoughts on prioritization whether that's more share repurchases M&A debt [multiple speakers].
Brooks Pierce: Yes -- no. Yes, it couldn't continue into Q4 because we've really been blacked out ever -- we haven't bought any stock since we -- since this whole third quarter situation arose. So we haven't been able to buy stock and I'm not sure when we will. We certainly at this point aren't going to be able to buy any stock until we report the fourth quarter and file the fourth quarter -- the full 2023 10-K, Barry.
Barry Jonas: Got it. And then I guess just beyond that thoughts, M&A or how you are thinking about prioritizations once this is fully concluded with the accounting issues.
Brooks Pierce: I think, I probably feel more comfortable having that conversation after we report the fourth quarter and filed a 10-K, then everything to do with this will be behind us and will be free to talk about whatever we want to talk about.
Barry Jonas: Fair enough. All right. Thank you so much.
Brooks Pierce: Sure.
Operator: Thank you. Our next question comes from the line of Jordan Bender from Citizens JMP. Please go ahead.
Jordan Bender: Good afternoon, everyone. With some of the M&A in the [indiscernible] space recently, I think it shines a spotlight back on the lottery space. So what's your take on the progress within the iLOTTERY industry and maybe the long-term uplift coming from that business as well?
Lorne Weil: Well, in the United States, the iLOTTERY business has been evolving more or less the way the iLOTTERY -- iGaming business is, which is the states that haven't are doing very well. But the rate of new states introducing REGS for either iGaming, or iLOTTERY have, frankly not been as accelerating as we would have expected. But my feeling is that has to change. There's 1,000 reasons why it has to change. And looking forward, I think we're going to see an acceleration in the iLOTTERY business. We're getting ready for that. We are making phenomenal progress on the cloud-based lottery system that we're developing in -- down in the Caribbean. We recently launched the iLOTTERY part of that platform, which is going to serve two functions for us. One, it's a product that we can actually use to get into the platform business in other parts of the worlds if we choose. But more importantly, we can use it as a test bed for iLOTTERY products that we want to launch on that platform. And that would include not only traditional -- what are called electronic instant tickets, if you will, but also virtual sports, which for us is, we think a huge opportunity in the lottery business. So in a way, it's kind of good for us that things have been going a little bit slower in the market because it's giving us more time to complete the products that we're trying to develop around our product line, get our ducks in a row. And I think certainly you're right that the M&A activity in the industry starting with scientific games getting bought and then the deal games acquisition by Aristocrat I think a lot is going to happen in this part of the business and we're very excited about it. But it's not evolving as fast as people thought it was going to, that's for sure.
Brooks Pierce: And Jordan, maybe -- it's Brooks. One more thing I would add is, remember we talked about we have introduced a couple iLOTTERY games, particularly with Loto-Québec because they had a unique technical setup that fit that worked well for us. And the games are kind of a year old and ones still in the top five and the other ones in -- I think, the top 25. So the content creation that we use for both our iGaming business and our retail business is definitely transferable to the lottery business. So I'd echo what Lorne says is, it's probably not been the worst thing in the world for us to have it go a little bit slower, because we know we have content and we can build content that'll resonate in iLOTTERY.
Jordan Bender: Great. And then on the follow-up, I don't think I missed it. But did you guys comment on all the conversion units done as we sit here today? I think William Hill was supposed to last into the new year?
Lorne Weil: Yes, we commented that, Betfred and Paddy Power are done. William Hill has not -- its not done yet. There's a trial that's ongoing right now. Whereas we're in the success that we're seeing from both of our other big customers is also happening with William Hill. So that's when we can comment on the William Hill status we will, but needless to say the trial that we have ongoing with William Hills is going very successfully right now.
Jordan Bender: Great. Thank you very much.
Lorne Weil: You're welcome.
Operator: Thank you. Our next question comes from the line of Ryan Sigdahl from Craig-Hallum Capital Group. Please go ahead.
Ryan Sigdahl: Hey, good afternoon, guys. I want to jump over to Virtual Sports. So revenue declined in the quarter. I guess it's plateaued a little bit here. But I guess what's your visibility and confidence to reaccelerate that business and timeline to do that? And as you think about kind of the hurdles to getting all the newly licensed, whether it's homerun shoot out NBA, NFL, you have a ton of new product that seems like it should resonate, but I guess, what's the biggest barrier to getting that faster into the market?
Brooks Pierce: Yes, there's -- I think you're right. And we do think that that's the kind of baseline for growth alongside the, obviously, the new market in Brazil that we mentioned. But yes, look it's like, it's everything. It's you've got technical stuff that you've got to do, you've got to get customers signed up, you got to get regulatory approval. Frankly, it's part of the reason why it's taken as long as it has, but I really do feel like we're at an inflection point now with BetMGM going live and Rush Street going live. And honestly, I think it will help drive some of the other operators if we're successful with those guys. And the strategy for us has been in particular with these licensed brands, because Virtual Sports is new to the U.S betting consumer. So we thought the power of brands like the NBA and the NFL would be a good way to introduce this to the North American market. Seeing good results out of Ontario already, which has been out for a while. But I would say '24 is going to be the time to kind of put up or shut up in terms of North America.
Ryan Sigdahl: Good. Then for my follow-up question just overall, like you said, well, you did say in line Q4 with where consensus is which is a modest EBITDA growth. So I guess what's your confidence in getting back to EBITDA growth in Q4, and then again into 2024? Thanks. Good luck, guys.
Brooks Pierce: Thanks, Ryan. Do you want to …
Lorne Weil: Yes, well, I'm not sure whether you asked the question at the end Ryan, or you're just kind of signing off. But if you ask that as a question, then I think what we're comfortable seeing right now is we feel, obviously it's February. So we were and we've scrubbed the Q4 numbers already very comprehensively. So I think we're comfortable saying what I said in my prepared comments that Q4 should be in line with consensus. If you adjust it for the $2 million hit, we took it with the hacking, it would put us comfortably to have consensus and certainly ahead of last year. As far as what we think going beyond that, I think, again, I'd rather wait until the end of the first quarter, and when we report the fourth quarter and filed the 10-K and then maybe we'll be able to talk more comfortably about '24.
Ryan Sigdahl: Very good. Thank you, Lorne.
Lorne Weil: Yep.
Operator: Thank you. Our final question comes from the line of Chad Beynon from Macquarie. Please go ahead.
Chad Beynon: Hi, afternoon. Thanks for taking my question. Hi, Lorne. Hi, Brooks. First, just wanted to hit on the Vantage cabinet uplift. I know you had talked about this on prior calls. And it looks like what you had forecasted is coming true in terms of the double-digit increase. Can you talk any more just in terms of if that has been stable since those have been deployed? And then Brooks, could you just touch on, so the white paper change. Do you think that could affect the, I guess, the increase in terms of the cabinets here? Or like you said that might already be factored in? Thanks.
Lorne Weil: Sure thing, Chad. Yes, I mean, the good news is we've been kind of fully deployed in Paddy Power and Betfred for multiple quarters now. And it is the growth has remained in double digits. So we are very confident about that and the William Hill trial is actually showing even better results. So I think we feel quite good about that. And obviously, it's seeing an even bigger impact in the pubs business, some of which is fixed fee and some of which is recurring revenue. So hopefully that will start flowing through in the results and we'll obviously talk about that as we can. In terms of the white paper and the stakes limit thing, this has been talked about ad nauseam, it came in exactly as we predicted. I'm not sure we would have predicted that it was going to be age driven, but we thought it would be some kind of split, either be five or two. So I think it's actually pretty much as we expected. It will supposedly be implemented in September. So I just don't think it will have a material impact on us this year, and frankly, with game design and the operators, we hope to over the course of the year mitigate what very small impact that may have. So it's just doesn't feel like a big thing to us. Because people just aren't betting, when you think about it, when you're playing online, people just aren't generally staking ₤5. So it just doesn't have the same kind of impact, like it did with the triennial for sure. I mean, we're in the same category.
Chad Beynon: Okay, appreciate it. In terms of margins outside of the accounting nuances, in a $2 million hit, how should we think about inflationary impacts I guess in the digital business or the retail and leisure business, as we kind of get into '24. Are there still lingering inflationary measures, supply chain, et cetera? Or if the business is flat to slightly up, could we assume that on the same-store basis margins could follow suit as well? Thanks.
Lorne Weil: Well, the -- in the digital businesses, there's really no inflationary pressure to speak up because you don't have the -- at least in the way our businesses work, the large field service organizations that you do in the other parts of the business. So, I think we're seeing certainly in the case of Interactive, because there's very -- really no inflationary pressure, the way the business scales as the revenues grow the margins grow faster. That's also the case with the Virtual Sports business. We haven't seen that the last couple of quarters, but we've certainly seen it in spades over the last couple of years with the margins accelerating like crazy as the revenues have grown. And I think as Brook said, I think we can expect that those revenues are going to reaccelerate as we move through '24. In the retail businesses because there is a very large -- main thing is a large field service component, hundreds of people. And there have been increases in the U.K minimum wage and living wage and all kinds of other stuff that makes it very difficult to see the kind of margin improvement that we've seen in the digital businesses. But as I said -- so we absolutely are seeing inflationary pressure. But we think that we can restructure the businesses in a way that we can blood, a lot of that impact. And so I think we're feeling pretty good that our 2024 margins across the board will certainly be as good as they were in 2023, notwithstanding the inflationary pressure. So whatever, whatever our let's say, adjusted EBITDA margin after taking account of unusual factors was in '23, I would not expect that the margins will be lower than that in '24.
Chad Beynon: Okay.
Brooks Pierce: Yes, I think the one thing [indiscernible] about all that, just one last thing, Chad, because I know we've talked about this on a number of calls before about the U.K consumer and the concern about that and what was going to happen if there was a recession, et cetera, et cetera. I think the results are pretty conclusive that the U.K consumer has figured out how to manage themselves such that it is in impacting their gaming plays as kind of shown by the results of the Vantage cabinet. So I think it's -- the feel as you're in the U.K is that there's certainly less and less talk about consumer issues and inflation in that regard. So that also was good.
Chad Beynon: Great. Appreciate it all. Thank you very much.
Brooks Pierce: No problem, Chad.
Operator: Thank you. There are no further questions at this time, Mr. Lorne Weil, Executive Chairman, I turn the call back over to you.
Lorne Weil: Thank you, operator. Again, thanks, everybody, for joining today and thanks for your support over the last several months. We obviously appreciate it. And we're happy that we've come to what we think is a pretty good place right now. And we are pretty enthusiastic about 2024. So I guess we'll be speaking to you now fairly soon since we're most of the way through the first quarter. And we look forward to reporting more to you at that time. So thank you. Thanks, operator.
Operator: Thank you. This concludes today's conference call. We thank you for participating, and you may now disconnect.